Operator: Ladies and gentlemen, thank you for standing by. And welcome to the CPSI First Quarter 2018 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this call is being recorded, Thursday, May 3, 2018. I'd now like to turn the call over to Mr. Boyd Douglas, President and Chief Executive Officer with CPSI. Please go ahead.
John Boyd Douglas - Computer Programs & Systems, Inc.: Thank you, Aash. Good afternoon, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risk, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission including, but not limited to, our most recent Annual Report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call today will be Matt Chambless, Chief Financial Officer; Chris Fowler, Chief Operating Officer; and David Dye, our Chief Growth Officer. At the conclusion of our prepared comments, we will be available to take any questions you may have. Our first quarter of 2018 finished with the strong revenue and earnings performance, and we remain well-positioned for a good year ahead of us. As the market continues to shift to value-based care so does the revenue generated from our traditional software licenses to services from our company TruBridge. The community EHR business will always be core to the CPSI family, and it is foundational to the growth potential we see with TruBridge as that continues to fuel their sales engine. Maintaining the strength of our EHR foundation continues to be a priority, and our retention rates are reflective of our success today. We welcome 14 new community hospitals to the CPSI family in the first quarter of 2018, and the pipeline of activity tied to EHR buyers that are looking to return to us or replace their existing EHR vendor remains healthy, especially considering the dynamic of a saturated community EHR market. As we have outlined previously, the demand to improve the efficiency and utilization related to revenue cycle across our acute and post-acute client base provides good growth opportunity through cross-selling of the TruBridge revenue cycle management solution, accounts receivable management, private pay and coding services. TruBridge had 9% sequential revenue growth from Q4 of 2017; and 22% revenue growth year-over-year, while their margins at 47% improved from 42% in Q4 of 2017, and from 43% one year ago in Q1 of 2017. EHR clients within the CPSI family that purchased TruBridge services appreciate the benefits that naturally come from already-working with us where they have the long-term partnership, and most importantly, the trust factor already in place. Over the last four quarters, we have seen an upward trend from cross sales of all TruBridge services into the acute and post-acute base. And on average, our RCM sales into our acute client base are $1.5 million per quarter. To-date, the accounts receivable management service is the largest revenue generator from cross sales by TruBridge, and currently it has been sold into only a fraction of our acute care base. Similarly, the private pay service, which also generates decent revenues from cross sales is live in approximately 150 hospital facilities. In summary, there's clearly robust opportunity remaining throughout our entire EHR base before nearing penetration of our acute or post-acute client base. Turning back to our traditional software sales, MU3 once again generated healthy revenue in Q1 of $4.4 million, as the associated implementations have been moving along nicely. We are also pleased to report that in a year, that is still considered optional, attestations are well underway, and we have a number of clients that have already successfully tested on both our Thrive and Centriq products. The effort that has gone into our shared set of solutions over the last 12 months continues to drive some exciting innovation that is geared towards improving the experience providers have with our solution, across the inpatient, ambulatory and skilled nursing settings. From the recent business intelligence solution, to the new quality reporting product, and an improved user experience, these and other shared solutions are being designed and developed once to be shared across all of our EHR platforms. Building these solutions with an architecture, which depends upon a suite of containerized micro services accelerates the process of building functionality, expands future scalability, and allows us to bring valuable new solutions and improvements to our clients in a more efficient manner. With that, I'll turn the call over to Matt for a look at the financials.
Matt J. Chambless - Computer Programs & Systems, Inc.: Thanks, Boyd, and good afternoon everyone. As Boyd just touched on, the first quarter of 2018 saw robust TruBridge revenue growth as our stellar bookings performance during 2017 has converted into meaningful top line improvements. This success, when coupled with our continued execution around CMS' healthcare IT initiatives, resulted in quarterly revenues and non-GAAP earnings per share that were our second highest since the Healthland acquisition, trailing only the fourth quarter of 2017's MU3-driven performance. In total revenues are up 11% from the first quarter of 2017, propelled by a 22% year-over-year top line TruBridge growth, which translated into a 54% increase in adjusted EBITDA, and an 86% increase in non-GAAP EPS. Recurring revenues increased 8% over the first quarter of 2017, and 3%, sequentially. From a cash flow and liquidity perspective, the recent strong top line performance at TruBridge, and the cash flow dynamics of our MU3 financing arrangements resulted in a $5.4 million expansion in total receivables, which when coupled with the timing of working capital cash outflows related to normal payroll and 2017 annual performance bonuses limited our ability to convert the period's improved profitability into improved operating cash flows. While we're always somewhat at the mercy of timing when it comes to working capital, there are no significant strategic working capital investments planned for the remainder of 2018, which bodes well for the remainder of the year's cash flow performance. As we've discussed on the past few earnings calls, our financing approach to MU3 add-ons and the market's shift away from upfront payment models to longer-term financing arrangements, whether it'd be SaaS or financed perpetual license sales has created a bit of a temporary disconnect between periodic profit and cash flows. Although, this cash flow trend hasn't quite reversed yet, we're clearly headed in that direction as total net financing receivables on our balance sheet increased only 4% during the first quarter of 2018, and we continued to expect financing receivables to be a net cash contributor in the back half of 2018. As it relates to our adoption of the new revenue recognition standards of ASC 606, we have opted not to translate current year amounts into old GAAP as the new standards have had an inconsequential impact on our revenues and earnings for the period with neither being impacted by more than $100,000. However, the new standard did have an impact on our balance sheet, most notably, increasing prepaid and other assets by $3.8 million, deferred revenue by $1.2 million, and deferred tax liabilities by $0.6 million. Lastly, the continued evolution of our operations after the Healthland acquisition resulted in a shift in the reporting structure for our interface services teams, resulting in some prior year reclassifications that increased cost of system sales and support, and decreased product development costs by roughly $850,000 each. Consolidated bookings of $22.1 million showed an 11% improvement over the fourth quarter of 2017 behind strong net new performance for Evident, but TruBridge bookings were admittedly softer than we'd like, resulting in a 6% decline in total bookings from the first quarter of 2017. We continue to execute on our TruBridge strategy by moving upmarket into larger healthcare facilities, while expanding the scope of our relationships with new and existing customers by increasing revenue generation touch points within those facilities. Our initial success in that endeavor has created a bit of bookings volatility as our bookings numbers are now heavily influenced by low-volume, high-value deals. For example, TruBridge closed no such large deals during the first quarter of 2018, whereas large deal bookings were $1.5 million in the first quarter of 2017 and $2.9 million in the first quarter of 2017. Of the $18.2 million in system sales and support bookings, roughly $1.7 million is included in our first quarter revenues. $16.4 million represents non-subscription sales that should trickle into revenue over the next 12 months with an average lag between booking and install of five to six months. $0.1 million represents EHR subscription revenue to be recorded over a weighted average period of five years with a start date in the next 12 months, and similar to our non-subscription sales and average lag between booking and install of five to six months. Our $3.8 million of bookings from TruBridge are mostly made up of recurring revenues to be recorded over a one-year period starting in the next four to six months. As for our Thrive implementation schedule, five customer sites went live with our Thrive acute care solution, compared to seven in the fourth quarter of 2017, and three during the first quarter of 2017. As for licensing mix, one of this quarter's five go-lives were under a cloud or subscription model compared to none in the fourth quarter of 2017, and one out of three during the first quarter of last year. At this time, we expect four new client facilities to go live with our Thrive solution in the second quarter of 2018 with one expected to go live in a cloud environment. Our employee head count as of March 31 was roughly 2,070, roughly a 1% increase over our December 31 numbers. On the revenue front, TruBridge posted a banner quarter, with revenues increasing 9% sequentially, and 22% year-over-year with accounts receivable management, insurance services and medical coding services continuing their upward trajectories. Accounts receivable management services increased 17%, sequentially and 47% year-over-year as hospital clients continue to partner with us for their full business office needs. Medical coding revenues increased 14% sequentially, and more than doubled year-over-year as providers continue to view TruBridge as a full-service RCM partner, and insurance services revenues increased 5% sequentially, and year-over-year. The top line success drove improved margins with margins improving to 47% during the first quarter of 2017, compared with 42% in the fourth quarter of 2017 and 43% during the first quarter of 2017 – correction the 47% was the first quarter of 2018 System sales and support revenues saw a $9.2 million or 17% sequential decrease as MU3-related revenues declined from $12.3 million to $4.4 million. This decrease was expected, given the current compliance deadlines, and we mentioned on the last earnings call that we expected a bit of a pullback during the first quarter of 2018 with volumes expected to pick back up in the second and third quarters, with a little remaining for the fourth quarter of 2018. Year-over-year, the contribution from MU3 drove system sales and support revenues to a $2.3 million or 5% increase, despite relative weakness in our post-acute segment in non-MU add-ons for our acute care segment. To-date, we've recognized $18.5 million in MU3-related revenue, with life-to-date bookings of $27.6 million. Although, we've been in continuous dialog with our clients regarding the recent proposed ruling from CMS allowing for a 90-day attestation for 2019, it's uncertain whether or how much that revenue cadence will shift or the related impact on the timing of the remaining bookings. Our cost of system sales and support revenues declined 10% from the fourth quarter, as travel costs improved and bonus expense normalized after the $1 million charge to the fourth quarter for the entire annual 2017 bonus. However, the 63% margins of the fourth quarter made for a tough comparative with this quarter's margins landing at 60%. Year-over-year, margins improved from 55% to 60% behind stronger top line results met with reduced costs, which were mostly due to favorable sales mix resulting in lower hardware costs. Product development costs showed a slight decrease of $200,000 or 3% sequentially, mostly due to the timing of bonus expense during 2017. Year-over-year costs have increased $700,000 or 8% due to our strategic initiatives designed to improve provider adoption and clinical workflow. Sales and marketing costs decreased sequentially by $2 million or 21% as the aforementioned decline in MU3 product revenues lowered commission expense. Conversely, top line growth related to both MU3 and TruBridge led to elevated commissions during the first quarter of 2018, when compared to the prior year resulting in sales and marketing costs that were $0.6 million or 8% higher year-over-year. General and administrative costs decreased $0.6 million or 5% from the fourth quarter of 2017 as bad debt expense and health claims normalized from the fourth quarter's elevated levels with a combined decrease of $2.8 million dollars. These improvements were partially offset by decreased vacation utilization as the fourth quarter benefited from the holidays. Increased costs related to our 401(k) employer match as our match structure essentially spreads the cost over the first nine months of the year, and increased legal and accounting fees resulting from our annual audit and ASC 606 implementation. Year-over-year, G&A costs increased $0.7 million or 6% mostly as changes in our Employee Prescription Drug Program drove a spike in volumes. Interest expense showed little movement either sequentially or year-over-year, as underlying rate increases on our variable rate debt have been mitigated by pay downs of principal. This quarter's effective tax rate of 32.4% was impacted by stock-based compensation shortfalls under ASU 2016-09, which resulted in $0.4 million of additional income tax expense. We also saw a $0.2 million of miscellaneous state notices. Absent these discrete items, our effective tax rate was just shy of 23%, and consistent with the expectations we communicated on the last earnings call. In wrapping up the financial discussion, we're pleased with what we view as a successful quarter, particularly with the results that we're seeing from TruBridge. As we continue to execute on our growth strategy and make progress towards our leverage goals, we believe there's much to be excited about at CPSI. And with that, I'll now turn things over to Chris Fowler, our Chief Operating Officer.
Christopher L. Fowler - Computer Programs & Systems, Inc.: Thanks, Matt, and good afternoon, everyone. As Boyd and Matt stated, we're very pleased with the revenue and margin performance that was driven from TruBridge this period. From a bookings perspective, it is not uncommon to experience and manage the sales lumpiness from time-to-time. Often the deals we are cultivating can be large and require a fair amount of involvement from everyone. Many of our larger deals simply take time and patience, which can make the art of predicting a close day particularly challenging. Our level of satisfaction related to the inroads we are making with the cross-sell efforts into our post-acute EHR client base continues to increase. Our teams are making real progress each quarter as they become more attuned at communicating the value of revenue cycle outsourcing solutions within the post-acute setting. Similar to our penetration levels within the acute client base, we have a significant runway of opportunity remaining. Our reoccurring revenue stream associated with post-acute, if fully penetrated translates to approximately $25 million, annually. As sales advance, we are making continued headway within TruBridge operations. We are currently exploring and testing more efficient delivery methods for our accounts receivable management service. Our objective is to deliver a faster ROI, and improve affordability while maintaining or improving margins as we grow the business from within and outside the CPSI family of companies. In terms of our efforts around our community health offerings, the CPSI ACO program is well-underway, and we are enthused by the prospects this program brings to the participating member hospitals. In partnership with Caravan Health, each individual community is working towards improving care, while reducing cost. In addition to the local governance provided by ACO steering committees, we now have the CPSI ACO Board in place, which includes a representative from each community and provides broader ACO governance. We are gaining valuable learnings and understandings of how TruBridge and CPSI can best support our communities in their journey to value-based care. We foresee a roadmap of meaningful solutions, not just software, of TruBridge services that will revolve around integrating wellness visits, care coordination and a structured and measurable chronic care management program, all geared towards improving community health. And with that, Aash, please open up the call for questions.
Operator: Certainly. And our first question comes from the line of Jeff Garro with William Blair & Company. Your line is open. Please proceed with your question.
Jeff R. Garro - William Blair & Co. LLC: Hey, good afternoon guys. Thanks for taking the questions and congrats on the nice results, wanted to ask about TruBridge, maybe first on the revenue front, over 20% growth seem to outperform your mid-teens expectation. Was there anything from a new installation or clean volume perspective that helped drive those positive results?
Christopher L. Fowler - Computer Programs & Systems, Inc.: Hey Jeff, this is Chris. Thanks for the nice comments. As Matt said in his prepared comments, this is mostly driven off of the large deals and the success we had from sales last year – in the middle of the year. We spoke to a big bookings that we had probably in the first quarter last year maybe, and trickling into the second quarter, and just seeing that come to fruition and getting that fully up and operational.
Jeff R. Garro - William Blair & Co. LLC: Understood. Maybe we'll transition to the forward outlook for TruBridge and how the recent bookings are going to translate into future growth, the sales team was clearly outperforming for several quarters, a little bit slower the last two, and you referenced the lumpiness, but it seems like the value to clients is improving. So I don't know if there's anything more you can tell us about the pipeline or buyer activity that gives you confidence in a rebound from here?
Christopher L. Fowler - Computer Programs & Systems, Inc.: To your point, it's hard for us to predict. The pipeline is still very strong. The Rycan or the now called TruBridge RCM is probably the most steady bookings that we see coming in. It's just, it's really hard for us to get a gauge on when we're going to see the decision come in on the accounts receivable, and also the private pay the coding which are our larger booking opportunities.
David A. Dye - Computer Programs & Systems, Inc.: Yeah. And Jeff, I'll add to that – this is David. We have – because of the success that we had last year from a sales standpoint during the first quarter, we did make some changes in our sales structure with regard to TruBridge, and in particular with regard to TruBridge RCM, formerly Rycan, we've seen a lot of success there, as you know, selling in our current client base, but we've also seen a lot of success there as we're upselling into non-CPSI branded EHR customers that are in the sort of the mid-sized tier hospitals from say 100 to 400 beds. And we think, that's something that we can really grow significantly in the years to come. It could be a big contributor to our overall growth as a company going forward. So we got a lot of work to do there, but we know the product works well in that space and so that's something we're particularly focused on for the future.
Christopher L. Fowler - Computer Programs & Systems, Inc.: And to steal the mic back from David, just a little more color to that. It's more than just the TruBridge RCM that we're trying to drive into those larger facilities, it's TruBridge Services as well. The software can be a little bit table stakes even though we know we've got a great product, we want to be able to differentiate based on the services that we've vetted over the last 15 years inside the client base and be able to deliver outside as well.
John Boyd Douglas - Computer Programs & Systems, Inc.: And I think the other important thing to just point out is, we've talked about the bookings being lumpy, especially with the bigger deals. It's an average of four to six months converting those bookings into revenue, but that is – I want to emphasize that's just an average too, especially some of these bigger wins, it takes longer to ramp those up, so you're not going to see that revenue as quickly as you would, I'd say, a smaller facility and so, I think that's another factor that just makes the revenue a little bit more unpredictable as far as the exact timing of it.
Jeff R. Garro - William Blair & Co. LLC: Got it. That's a great color. And maybe one more if I could sneak it in, more of a housekeeping. You mentioned the 14 new clients, does that refer to newly-signed clients in the quarter, and are those all factored into the bookings or are some of those going to spill into the next couple of quarters?
John Boyd Douglas - Computer Programs & Systems, Inc.: That is 14 new clients and that is in the bookings number. New contracts, I'm sorry. Yeah, new contracts.
Jeff R. Garro - William Blair & Co. LLC: So not necessarily new core EHR patient accounting clients?
John Boyd Douglas - Computer Programs & Systems, Inc.: No, yes, it's 14 new core EHR clients.
Jeff R. Garro - William Blair & Co. LLC: That we should expect to be installed throughout the remainder of the year?
John Boyd Douglas - Computer Programs & Systems, Inc.: That's correct.
Jeff R. Garro - William Blair & Co. LLC: Got it. Thanks again, guys.
John Boyd Douglas - Computer Programs & Systems, Inc.: Thanks, Jeff.
Operator: Our next question comes from the line of David Larsen with Leerink Partners. Your line is open. Please proceed with your question.
Jonathan McGraw Bentley - Leerink Partners LLC: Hi. This is Jonathan McGraw Bentley on for Dave. I was just wondering, if you could give an update to the MU3 opportunity that's remaining. I think, earlier in the year you had sized it at about $26 million, so then it was the $4.4 million this quarter, I'm wondering, if there's sort of $21.6 million left or what size is left?
Matt J. Chambless - Computer Programs & Systems, Inc.: Yeah. So to give you kind of the global picture of where we are in MU3 standpoint, first, we have to think about revenue, we have to think about bookings. So MU3-related bookings for the quarter were about $700,000 after $26.9 million in bookings during 2017, so that means life-to-date bookings are just south of $28 million. And the $4.4 million of MU3 revenue that we booked this quarter brings the life-to-date revenue number to $18.5 million, that means we have $9 million – little over $9 million left of booked deals, and we think the total opportunity still is somewhere between the $35 million to $40 million number, so there's still considerable go-get for us.
Jonathan McGraw Bentley - Leerink Partners LLC: Okay. Sorry for mixing up there. And then, also I was just wondering if you could talk a bit more about the – you mentioned speeding the ROI realization, and one of your peers recently talked about the importance in demonstrating ROI in sales process. I was wondering how important that is in your process as you go-to-market?
Christopher L. Fowler - Computer Programs & Systems, Inc.: This is Chris, Jonathan. On the TruBridge side, it's very valuable, especially when we're looking at the section that David spoke about as we're leaving outside of the CPSI customer base where we don't have that credibility already established. So we're working towards being able to deliver that ROI upfront, showing that opportunity for them, which is why I added the additional color around why we're going after programs versus just the software implementation, because we feel like we can with our staff and our services, we can deliver that ROI, and not just have them hope to use the software to be able to get it, but actually drive that for them.
Jonathan McGraw Bentley - Leerink Partners LLC: Okay, great. Thank you.
Operator: Our next question comes from the line of Mike Ott with Oppenheimer. Your line is open. Please proceed with your question.
Mike Ott - Oppenheimer & Co., Inc.: Good afternoon. Thanks for taking my question, and nice quarter. I noticed the percent bookings from system sales and support looks like it's at – may be at two-year high around 83%. Wondering is that just TruBridge bookings being a little light as you discussed or system sales strength or maybe a bit of both?
David A. Dye - Computer Programs & Systems, Inc.: Yeah, it's definitely a bit of both. I mean you hit the nail on the head.
Mike Ott - Oppenheimer & Co., Inc.: All right, easy enough. And then, wonder if you could update us on the BI Dashboard, I think, you had about 20 clients live, you said last call. I don't know if there is any uptick there?
John Boyd Douglas - Computer Programs & Systems, Inc.: We're still continuing to develop additional panels to that, we've had a handful of webinars where we've seen picked up enthusiasm, and we've got our annual client conference coming up in the next few weeks, which we're excited about showcasing the BI Dashboard. So hopefully, we'll have better news report next quarter on that.
Mike Ott - Oppenheimer & Co., Inc.: Okay. And lastly, if I could, I think last quarter you mentioned you were working on adding a telehealth service to the EMR, don't know if you have any update you can share on when that might be available?
John Boyd Douglas - Computer Programs & Systems, Inc.: I would expect to see something in the second half of the year.
Mike Ott - Oppenheimer & Co., Inc.: All right. Thanks very much, guys.
John Boyd Douglas - Computer Programs & Systems, Inc.: Yeah.
Operator: Our next question comes from the line of Stephanie Demko with Citigroup. Your line is open. Please proceed with your question.
Stephanie J. Demko - Citigroup Global Markets, Inc.: Hey, guys. Thank you for taking my question. Just on...
Matt J. Chambless - Computer Programs & Systems, Inc.: Hey, Stephanie.
Stephanie J. Demko - Citigroup Global Markets, Inc.: ...given all of the revenue mix and license sale headwinds that some of your peers are seeing in the EHR space, what do you think is keeping you guys inflated in this trend? Is it too much flexibility in your sales model or is there anything else to call out that you're seeing as kind of an industry trend you're moving away from?
Matt J. Chambless - Computer Programs & Systems, Inc.: Hey, Stephanie, we didn't quite hear the question, it was kind of cutting in, and out, you said, what do you think was doing what now? Sorry.
Stephanie J. Demko - Citigroup Global Markets, Inc.: Oh, just – so we are seeing a lot of revenue mix and license sale headwinds at some of your peers in the EHR space. So it's basically just what's keeping you guys insulated from this trend? Is it flexibility in your sales model or is there anything else that's kind of kept you safe from it?
Matt J. Chambless - Computer Programs & Systems, Inc.: I would describe the market right now is healthy, it's – we've been averaging between 20 and 30 new clients for the last couple of years. We think that can relatively easily continue. Obviously, we're very pleased with the start we got off to this quarter. We've mentioned before on a few calls in the past that, we have been surprised by the number of clients that still choose the license model over the cloud option. We offer for every single one of our sales, we present the customer with different options for how they can purchase our product, whether it'd be in the cloud, the traditional cloud, SaaS-based model or whether it'd be license model via financing with us or via third-party, and we continue to be surprised by the number that choose the licensing model. But that's, I think, the beauty of what we're offering, is that the customer gets to decide.
John Boyd Douglas - Computer Programs & Systems, Inc.: And I think another important point is, I think it's just another factor that shows that we do operate in a little bit different market than what you consider most of our peers. The small rural market behaves differently a lot of times, and I think this is just another example of that, that maybe we're operating a little bit differently – the market operates little bit differently than some of the bigger hospitals.
Stephanie J. Demko - Citigroup Global Markets, Inc.: Understood. You guys have your own little niche there. And then, just shifting gears over to the Rycan side, are you seeing any change in the competitive landscape given recent revenue cycle or M&A that's been going on?
Christopher L. Fowler - Computer Programs & Systems, Inc.: From our standpoint, not so much, Stephanie. We're in a good position with our internal base that we still continue to transition from our legacy product and add-ons of the additional solutions that Rycan offers compared to our legacy offering. And also our – continue to be successful in converting our existing customers away from other clearing houses into Rycan due to the integration efforts that we continue to drive.
Stephanie J. Demko - Citigroup Global Markets, Inc.: All right. Thank you so much.
John Boyd Douglas - Computer Programs & Systems, Inc.: Thanks, Stephanie.
Christopher L. Fowler - Computer Programs & Systems, Inc.: Thank you.
Operator: Our next question comes from the line of Gene Mannheimer with Dougherty & Company. Your line is open. Please go ahead.
Eugene Mannheimer - Dougherty & Co. LLC: Hey, thanks. Good afternoon, Boyd, Matt, Chris, David. Congrats on a good start to the year. My question, first-off is just really a point of clarification. In your comments about the 14 net new wins in the quarter, is that inclusive of some former clients that may have dropped you, and then come back to you?
John Boyd Douglas - Computer Programs & Systems, Inc.: No, it's not.
Eugene Mannheimer - Dougherty & Co. LLC: Okay. Okay, great. So in a situation like that, that wouldn't be a new win in your view, right?
David A. Dye - Computer Programs & Systems, Inc.: It depends, Gene. If they had actually left our system and come back, yes. If they were still support paying customer, no.
Eugene Mannheimer - Dougherty & Co. LLC: Okay, okay. Fair enough. And with respect to some of the comments around the lumpiness in TruBridge bookings, is it still your view that you can grow the revenue mid-teens this year and just want to see if you feel that you can actually grow TruBridge bookings over last year's bookings? Thanks, guys.
David A. Dye - Computer Programs & Systems, Inc.: Yes. First part of the question, yeah, it's definitely still our view that we can grow it mid-teens this year. With regard to the bookings compared to last year, that remains to be seen. As we've stated several times last year including a number of big deals. And as we've also said many times, we've got a number of big deals in the pipeline right now, and whether or not we win all of those and the timing of when they occur remains to be seen. We certainly had the opportunity to do what we did last year. But the work lies ahead us, so we'll see.
Eugene Mannheimer - Dougherty & Co. LLC: All right. Great, David. And then just one final one, what are the products that you're selling today that address value-based care like quality reporting, for example, and what inning, would you say, we're in with respect to those life cycles? Thanks.
Christopher L. Fowler - Computer Programs & Systems, Inc.: Hey, Gene, this is Chris. So from the quality reporting, that's obviously one of the shared solutions that we're offering across the platform, and feel pretty good about that. I feel like the – from the rest of the value-based care/population health offerings, I would say, we're in the first inning, second inning of that, as we continue to learn more from the ACO group and that operation. We look to zero in on the offerings that we can deliver there. In the prepared comments, I spoke a little bit about the chronic care management, and just how we can assist, not just the hospitals that are owned, that are in the ACO program, but also being able to deliver some of that success to those that have not moved into that. There's a benefit for all of our hospitals to start looking at that wellness visit, and trying to capture some of the chronic care management, and also be more efficient prior to moving into that true ACO or into the value-based care model. So another one of those stay tuned, and I would expect in the second half of the year, we'll have some more clear insight as to how we're delivering that service.
Eugene Mannheimer - Dougherty & Co. LLC: All right. That's great, guys. Thank you.
David A. Dye - Computer Programs & Systems, Inc.: Thanks, Gene.
Christopher L. Fowler - Computer Programs & Systems, Inc.: Thanks, Gene.
Operator: And there are no further questions queued up over the phone lines at this time. I will now turn the call back over to you for any final remarks.
John Boyd Douglas - Computer Programs & Systems, Inc.: Great, thank you all. Thanks everyone for being on the call today. We appreciate your time, and we didn't have a lot to cover today, and we look forward to talking to you next quarter, where I'm sure we'll have plenty to share with you after we will have posted more than 1,200 clients that are coming together to seek the benefits gained from being part of the CPSI family of companies at our National Conference. So thanks everyone for your time. We appreciate everything and we'll talk to you next quarter.
Operator: Ladies and gentlemen, that does conclude the call for today. We thank you for your participation, and ask that you please disconnect your lines.